Operator: Greetings. Welcome to DigitalBridge Fourth Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Severin White. Please begin.
Severin White: Good morning, everyone, and welcome to the DigitalBridge fourth quarter 2023 earnings conference call. Speaking on the call today from the company is Marc Ganzi, our CEO, and Jacky Wu, our CFO. We're also joined by Tom Mayrhofer, who will be transitioning into the CFO role during the second quarter of this year, as previously announced. I'll quickly cover the safe harbor and then we can get started. Some of the statements that we make today regarding our business operations and financial performance may be considered forward-looking and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. All information discussed on this call is as of today, February 20, 2024, and DigitalBridge doesn't intend and undertakes no duty to update it for future events or circumstances. For more information, please refer to the risk factor discussed in our most recent Form 10-K to be filed with the SEC for the year ending December 31st, 2023. Great. So we're going to start with Marc summarizing the progress we've made on our key priorities in 2023. Jacky will walk us through our new simplified financial results and turn it back over to Marc to lay out our 2024 business plan. With that, I'll turn the call over to Marc Ganzi, our CEO. Marc?
Marc Ganzi: Thanks, Severin. Before we look ahead to 2024 in our third section, executing the digital playbook, I'd like to recap 2023 and summarize on how we delivered on our key priorities for the following year. As I like to say, it's the three things that matter, fundraising, simplification, and performance down at our portfolio companies. And let's put this report in a broader context, because look, at the end of 2023, we have successfully completed a multi-year transformation at DigitalBridge, taking a diversified read across five real estate verticals and refocusing that business exclusively on the digital infrastructure ecosystem where my team has been successfully investing and operating for over 25 years. Along the way, on this $80 billion transformation, we harvested real value for DigitalBridge shareholders, from the sale of legacy assets while continuing to grow, what I believe is the leading global asset management platform focused on digital infrastructure. So let's start with fundraising, where we saw terrific growth in fourth quarter. The combination of new capital formation, contribution from the InfraBridge acquisition, and FEEUM activation drove our fee revenues up 59% year-over-year and fee related earnings in our investment management segment up over 64% year-over-year. This is really industry leading growth. Much of that growth was fueled by new capital formation, $7.7 billion in new capital formed since January of last year through today, including the closing of over $1 billion in our inaugural credit strategy, which is a key piece of the multi-strategy asset manager that we are building here today at Digital Ridge. Next up, simplify. This really was front and center in 2023. De-consolidating our operating segments successfully with DataBank and Vantage SDC both moving off the books. We got this done. And as a part of that process, monetized a ton of value while simultaneously deleveraging our balance sheet by over $5 billion. That's a huge win-win. We realigned our financial reporting over the course of the year to match our alternative asset manager peer set, including enhancing our returns disclosure. And in fourth quarter, we moved the operating segment to discontinued operations. And I think you'll agree, the simplified financial profile is much easier to follow and to understand for you, the investor. Lastly, my third priority, performance at the portfolio company level. This is always front and center for us in terms of what drives returns, what drives LP interest in partnering with us and what drives the continued growth of our platform. In 2023, digital infrastructure continued to perform across all of our verticals. And interestingly, we're seeing the early impacts of Generative AI demand, particularly across the data center ecosystem. Let's cover these three topics in a little more detail, and then I'll turn it over to Jacky to cover the financials. Next slide, please. So it starts right here. FEEUM and AUM are two metrics that I now track vigorously. First, with AUM, we ended the year up just over $80 billion, which represents a 52% growth rate year-over-year. And as you can see here at FEEUM, our key revenue and earnings driver, continued its strong growth in Q4, with the activation of our most recent flagship strategy. We're now up over $10 billion or 47% year-over-year to $33 billion in FEEUM, driven by a combination of organic capital formation and the contribution from the InfraBridge acquisition, which we successfully and fully integrated this year into our platform. In fact, we're confident that the InfraBridge platform will provide a good growth vector for us in 2025, amplifying our ability to take advantage of the middle market opportunities across a broader set of digital infrastructure and adjacent industries. Next slide, please. So, here we are, new capital formation. This is the slide I know you all wanted to see. It's the fuel that allows us to meet the growing need for connectivity and compute. I'm pleased to report that despite a historically challenging fundraising environment, DigitalBridge raised close to $8 billion in new FEEUM since January of last year. That's $2.3 billion since last quarter, including $800 million year-to-date, led by strong initial commitments in our latest flagship product. As I mentioned earlier, our credit strategy completed the successful closing of its first fund with over $1 billion in cumulative capital commitments. Before we move on to the next slide, I want to put our fundraising into context because look, our team, Kevin, Leslie, they've done an unbelievable job. New FEEUM is up over 60% in a year, when global infrastructure fundraising was down over 50%. This is testament to the strength of our team, to the power of digital infrastructures and asset class, and to the dedication and focus of our firm to meet the call of our customers, bringing the resources necessary to meet our key commitments. This is really an incredible accomplishment, and I'm really proud of our team, and I'm proud of the firm. Next slide, please. So next up, our second priority was quite clear, simplify. Here the centerpiece was the successful deconsolidation of our operating segment. On the left, I've highlighted not only the successful deconsolidation of DataBank, but it's really important to note the significant value creation for DigitalBridge shareholders through this investment. Starting less than four years ago, we invested $466 million of DigitalBridge balance sheet capital, which doubled in value to over $900 million by the time we recapped the business in the summer of 2022. Since we made the strategic decision to rotate our business to an asset-light investment manager and deconsolidate our operating segment, we successfully monetized almost $500 million in value that's come back to the DigitalBridge balance sheet. In fact, based on where we're set to raise the next tranche of capital to fuel DataBank's edge computing growth, the fair value has increased another 20% just in the last year. We brought that asset under a 10% threshold in September of last year and deconsolidated it, while maintaining exposure to DataBank's strong future growth profile, which as all of you know is focused on edge computing. The other crucial aspect of the operating segment deconsolidation is that there was substantial deleveraging of our balance sheet. We took consolidated debt last year from $5.5 billion down to under $400 million, with investment level debt moving off of our books. Consolidating that investment level debt was really a distortion that I believe made it unnecessarily hard for investors to understand and evaluate and appreciate DigitalBridge. Bottom line, we've created significant value for DigitalBridge shareholders and we simplified our business profile. Next slide please. So just as you can see here, to give you a better sense of the impact of the deconsolidation on our balance sheet today compared to a year ago, we're talking about, call it around $8 billion of assets that were really relevant at the portfolio level, not at the corporate level. A few key takeaways from the simplification include the movement of the net equity value of Vantage, and DataBank assets into investment, consistent with the treatment you'd see at other asset managers. On the liability side, I mentioned earlier, over $5 billion in investment level debt has moved off the books. Net-net, the complexity of our balance sheet is significantly reduced, facilitating investor analysis in our business. We want to make it easy for you. So I really want to thank Jacky and the whole finance team as well as our legal team and our advisors and of course our LPs. And you'll see when Jacky talks through the financials, the simplicity and clarity that comes from not having to deconsolidate and then subsequently separate two different business units is quite stark. On top of that, it's less expensive to account for. So the changes generate real savings. I cannot thank enough of everyone on our team for their hard work on this initiative. And that includes our partners at Vantage and DataBank. Next slide, please. Finally, performance. Performance at our portfolio companies matter. MRR was up in across all of our four verticals again, driven by a combination of organic and investment-led growth. Data centers continue to be the standout this quarter, with MRR up nearly 25% and the rest of our verticals also performing extremely well. Towers up 7%, fiber up 6%, and small cells up 3%. Really good, consistent performance, and most importantly, consistent organic growth. Demand for compute and connectivity ultimately underpins this growth, and our ability to deliver for customers continues to expand along with our portfolio. So before I turn it over to Jacky to cover the financials, I want to say a few words about Jacky. As most of you know, this will be the last quarter that Jacky will be operating in his capacity as my partner and as our CFO. I first want to highlight his partnership, his friendship, and the incredible transformation that we've been able to accomplish together, Jacky, over the last four years. It's been one heck of a ride. Jacky's tireless work ethic, his never-quit attitude, was a big part and remains a big part of the fabric that makes DigitalBridge so unique. As Jacky moves into an operating role where I know he'll flourish, he'll continue to be a part of that fabric. So Jacky, goodbye. Thank you from all of your partners and from all the employees and of course the shareholders. You've done a tremendous job and we really appreciate you. So with that, I hand the mic over to Jacky Wu.
Jacky Wu: Thank you, Marc, and good morning everyone. As a reminder, in addition to the release of our full year 2023 earnings, we filed a supplemental financial report this morning, which is available within the shareholder section of our website. Starting on Page 15, our key operating and financial metrics have increased significantly during 2023, led by our investment management segment, which continues to grow at an industry-leading rate. This quarter marks the end of our successful corporate transformation with our sector-leading investment management business at scale and our corporate structure simplified. More importantly, recurring distributable earnings and free cash flows continue to trend positively. We foresee this powerful momentum to continue in 2024 and beyond as the company continues to asset manage, realize superior returns, and fundraise off of this track record, which drives significant yield and flow through to distributable earnings and free cash flow. Turning to Page 16, the company's distributable earnings was $18 million, or $0.10 per share, highlighted by new fee revenues from the launch of our latest flagship fund, DigitalBridge Partners III, or DBP III, which had its first closing on November 1st. Assets under management increased to $80 billion in the fourth quarter, representing a 52% growth over the same period last year. Fee earning equity under management increased to $33 billion, which is a 47% increase from the same period last year. AUM and FEEUM growth have primarily been driven by capital raised in our new strategies and fee-paying co-invests as well as the InfraBridge acquisition which closed at the beginning of 2023. Our fundraising pipeline continues to be very strong, fueled by new commitments to our latest flagship fund, DBP III, and we anticipate making significant progress with our dynamic product offerings in 2024. Moving to Page 17, with the substantial growth in our investment management platform further enhanced by our streamlined corporate structure, the company achieved significant year-over-year improvements. In December, we completed the deconsolidation of Vantage SDC, and results from the digital operating segment are reflected in discontinued operations. Going forward, the remaining non-controlling interest in Vantage SDC will be held as an equity method investment, similar to the treatment of our remaining interest in DataBank, which was deconsolidated in the third quarter 2023. Financial results have been recast in all prior periods presented to reflect digital operating segment results in discontinued operations. Consolidated revenues were $350 million, which were 29% higher from the same period last year. Total company adjusted EBITDA was $32 million, up 88% from the same period last year. This growth is primarily attributable to higher fee revenues from our new products and co-investments, which we will cover in more detail on the following pages. Moving to Page 18, the company continues to grow its investment management earnings and fee-earning equity under management, generated by strong fundraising throughout our product suite led by DBP III, fee-paying co-investments, credit, liquid strategies, and the addition of the InfraBridge funds. Fee revenues excluding incentive fees was $72 million and fee related earnings was $40 million, representing 59% and 64% increases from the same period last year respectively. Investment management segment distributable earnings increased by 31% to $39 million from the same period last year, benefiting primarily from new fees associated with DBP III. Turning to Page 19, net carried interest income, including incentive fee revenue, before non-controller interest was $58 million in 4Q 2023, compared to $84 million in the prior year period, due to the fair value increases of our managed funds at a rate that exceeds the preferred return hurdles, which generate carried interest to DigitalBridge as the manager. Turning to Page 20, fee revenues in our high margin investment management segment have continued on an upward trajectory, led by our DBP fund series and new product lines. Since the fourth quarter of 2022, our annualized fee revenues increased from $181 million to $289 million, and fee-related earnings increased from $97 million to $159 million. And looking at the right side of the page, run rate annual fee revenues are now up to $311 million. Turning to Page 21, the company maintains strong liquidity and has significantly de-levered its balance sheet. With approximately $475 million of liquidity, including the full $300 million available from our securitization revolver, our balance sheet remains poised for accretive uses. And current corporate debt level with no near-term debt maturities allows the company to be nimble and positioning DigitalBridge for long-term shareholder success. I am pleased to report we have achieved our target corporate debt level, adjusting for our perpetual preferred equity and now more aligned to our peers in the alternative asset management space. Moving to Page 22, our 2024 guidance range shown on the page highlights the significant progress made in the company's earnings profile. Fee-related earnings are projected to be between $150 million and $165 million at the end of 2024, and are now presented to include net corporate overhead expenses in line with our new simplified financial reporting definition going forward. We are expecting a strong fundraising year in 2024 driven by our latest flagship fund, DBP III. In summary, Marc and I are very pleased with the company's performance in 2023. We achieved many key milestones throughout the year in our journey of transforming DigitalBridge into a leading asset-light investment manager in the digital infrastructure space. The company is now much simpler and primed to generate long-term shareholder success by scaling the new products in our dynamic investment management platform. Our newest equity fund, DBP III, is off to a great start with some promising traction despite a global slowdown across the industry in fundraising. And we are excited about the progress we are seeing in our products to start the year. As today marks my last earnings call as Executive Vice President and Chief Financial Officer of DigitalBridge, I would like to express my personal gratitude to Marc and the rest of our leadership team, the Board of Directors, all our employees, and all of our shareholders for what a truly remarkable experience these last four years have been. We have seen a tremendous change at the company, from a business where over 80% of our assets comprised of senior living facilities, medical offices, hospitality, commercial office, industrial and other legacy real estate assets made even more distressed and dislocated during the COVID-19 pandemic to now a 100% fast-growing digital infrastructure asset manager. This company and all of our stakeholders should be proud of the significant transformation. The stock was at low single-digits. Our leverage was challenged while the top line and bottom line metrics were in rapid decline. But we endured and we persevered and we are now strong and healthy. I would also like to welcome Tom Mayrhofer, who has joined the executive team as the incoming Chief Financial Officer. Tom is an industry veteran with a proven successful track record in the investment management space, and he has already proven to be a great addition to the leadership team here at DigitalBridge. The company is set to accomplish some incredible achievements this year and in the future, especially with Marc at the helm. And with that, I will turn it back to Marc for his final remarks. Thank you.
Marc Ganzi: Thanks, Jacky. Well, look, here we are today, and the thing that most excites us about finishing up our transformation is really the bandwidth that frees up for all of us to focus exclusively on scaling the DigitalBridge platform. That's what our 2024 business plan is all about, taking the strong momentum we've already built up and accelerating the DigitalBridge flywheel. And Look, as I said earlier today, it starts with fundraising, architecting investment solutions that are tailored to our clients' needs. This is what allows us to form capital sufficient to fuel the AI revolution. The second priority for 2024 centers on our portfolio companies, where our budgets today call for over $15 billion of success-based mission-critical greenfield construction. This is CapEx that's being deployed at increasingly attractive development yields as rents have risen and our growth rates have risen across our data center businesses and the other three verticals. I'm also excited about a significant pipeline of new opportunities to back great management teams and the launch of the next generation of investment platforms at DigitalBridge. The third cog in our flywheel is all about scaling DigitalBridge at the corporate level. That starts with driving corporate operating leverage, improving our earnings and cash flows and ultimately redeploying that capital into the highest return opportunities for DigitalBridge shareholders. I haven't been shy about this. Whether it's developing new investment management products or going out and buying great investment management platforms, we know how to buy and build, and we will execute that strategy in 2024. So look, I'm incredibly excited about what lies ahead for this year. It's a real opportunity for us to finally go on offense. So let's cover some of those priorities in a little more detail. Next slide, please. Let's start with fundraising. New capital formation remains a key driver for our business. To meet the growing demand that we're seeing for AI powered investment in digital infrastructure, we're targeting over $7 billion in fresh capital across our multi-strategy platform. We expect at least 50% of that to come from our flagship strategy alongside a significant co-invest raise to support the growth of our existing portfolio companies, which we have demonstrated for the last three years. Our newer strategies, credit in particular, will drive the balance of our capital formation in 2024. We believe these targets are both achievable and attractive, representing over 20% year-over-year growth, again, in a difficult fundraising environment. One of the ways we're achieving this is through expanding our LP base. As you can see on the right, in just a couple of years, we've grown our primary LP base from 100 LPs to over 250 LPs across DigitalBridge. We think there's a lot of room to grow here, particularly as our flagship enters its third vintage and investors are increasingly familiar with both the resilience of digital infrastructure as an asset class, strong secular tailwinds that underpin its growth and the track record of the DigitalBridge investment management team over the last decade. In fact, we're spending a lot more time now with our existing LPs and new LPs, walking them through the opportunities that we're seeing that are emerging from the demand that's being created by Generative AI. And that's a long, long tail education process and one that we think is going to drive strong growth over the next couple of years in fundraising, particularly as the demand manifests itself in new leasing. And that's the key, the conversion into organic growth and new leases and ultimately new construction where we're showing up for our customers. I'm excited to work with the capital formation team this year as we expand our partnerships with new LPs, some of whom I've highlighted here. These are really thoughtful investors with long term investment horizons and we're excited to call them our partners. Next slide please. So let's cover the AI powered demand for digital infrastructure that backs our underwriting on new investments, particularly across the data center ecosystem. We believe AI is going to take a decade or more to build, and with 50 gigawatts of global data center capacity today, over the next six to 10 years, we will double that capacity to 100 gigawatts. As we see it, data centers are becoming AI factories, with data as the input and intelligence and insights as the output. Just look at some of the leading logos in the space, Microsoft, Nvidia, Amazon, Meta, all of these companies are substantially increasing their investments and capacity to meet the current and projected demands for AI. These customers of our portfolio companies were already trying to stay ahead of cloud demand and cloud to the edge. And now, AI has pushed that into a whole new gear. I'll just take one example that I find pretty incredible. When Nvidia reported their most recent quarter, chip sales to their data center segment were $14 billion. Up 3.8x over the prior year. That's just simply amazing. And it's important to note those chips ultimately need a home in a data center. It'll be interesting to see what numbers they post tomorrow. So bring that back to DigitalBridge. Today, we've got a pipeline of over 5 gigawatts looking out over the next five years. That's building on top of what's already one of the leading global data center footprints with over 190 data centers across 80 markets on a global basis. This is a big opportunity, and it's going to take investors who understand power, infrastructure, land acquisition, permitting, renewables, proximity and connectivity to terrestrial and sub-oceanic fiber routes, the latest advances in cooling technology, data sovereignty, and increasingly software-defined networks to meet this demand. We've got that expertise. We've got that experience. DigitalBridge is ready for the cloud-trained, edge-delivered future of AI. Next slide. So what does building the AI revolution look like? Well, today data centers are dominating CapEx with $11 billion of the $15 billion that's budgeted at the portfolio companies in 2024 and we're really focused on these data center investments. This is where we're leading in mission critical greenfield CapEx. And make no mistake, that's not a typo, $11 billion of committed CapEx. Just to data centers alone, North American and Europe are our most active markets today, but the rest of the world is accelerating. And I've said, AI is cloud trained and ultimately edge delivered. This is really a global opportunity at scale. What you see here are images from active construction happening today across our portfolio. This is not science fiction. We're building new data centers, we're putting up new towers, laying new fiber optic networks. These are all critical aspects of next generation digital infrastructure networks. This is actually just a small sampling. There's so many other places, we've got shovels in the ground. But we wanted to at least give you a sense for what the AI revolution looks like in the real world today. Next page. So, the final priority for me in 2024 is scaling DigitalBridge, focusing particularly on profitability and operating leverage. One of the side benefits of deconsolidating is the ability to look at a clear picture of the progress we've already made growing our alternative asset management platform over the past couple of years. As you can see here, we've generated not only attractive revenue growth, but increasing earnings and substantially expanding our margins from the low 30s to the mid-40s in 2024. This happened literally in the last 24 months. I'm really proud of that progress we've made, scaling a high margin, asset-light investment platform. And so I'm really excited about 2024 and beyond as we continue that momentum with solid revenue and earnings growth. Next page, please. So finally, before I wrap it up, I wanted to highlight our corporate capital allocation priorities, giving you a sense of where we ultimately plan to deploy those earnings from scale in the future. In the past few years, the biggest investments we've made alongside of our LPs, compounding value like we showed you earlier with the data bank example. We think that's a great use of capital and allows legitimate shareholders to get direct exposure to the value creation we drive at the portfolio company level. Capital structure optimization has been another big priority for us. We've highlighted this in previous earnings calls. I'm not just talking about deconsolidation. We've made significant investments in de-levering our corporate balance sheet over the past few years. This will continue to be a priority, even as we scale the business. Next up, accretive digital M&A is another significant focus, particularly today. We think there are attractive high return opportunities to expand our platform, And we have an active pipeline of opportunities. We were pleased with the Wafra transaction we executed a couple of years ago, buying back 100% of our investment management business. And of course, the AMP InfraBridge acquisition has now been successfully integrated with better-than-expected cost synergies and a value-add expansion in our investment mandate into middle market digital plus investing. Finally, on share repurchases and dividends, we've committed to a low but grow dividend policy and expect opportunistic share repurchases to become more prominent as we finalize the capital structure over the next few years. Next slide, please. So that covers my top three priorities for 2024. As you can see here on the CEO checklist, let's have a quick recap. One, fundraising. Get out there. Secure the $7 billion in fresh capital to meet the early stages of AI-powered demand we're seeing across the DigitalBridge infrastructure ecosystem. Number two, continue to keep investing in our portfolio. This year alone, we'll deploy over $15 billion in success-based Greenfield CapEx, building out all those megawatts and, well, gigawatts to meet customer demand. This also means capitalizing on a growing pipeline of new opportunities fueled by our latest flagship strategy. Finally, what we just talked about, scaling DigitalBridge, delivering operating leverage with higher margins and reinvesting those earnings effectively into the best high return investments at the corporate level. I look forward to updating you throughout the year, including an Investor Day that we're scheduling for May after the Q1 earnings. So stay tuned. And look, thank you again for your continued support and interest in DigitalBridge. With that, I'll hand it over to the operator and we can begin the Q&A section. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Elias with TD Cowen. Please proceed.
Michael Elias: Great. Thanks for taking the questions. Two, if I may. First, Marc, you talked about a historically challenging fundraising year in 2024. Just curious as we enter the year, how you've seen the fundraising environment evolve, are you seeing LPs come back to the tables with more appetite for digital infrastructure? Curious your thoughts there. And then second, on the data center side, great to see the CapEx that you're deploying into the sector. But one of the headwinds that we see is availability of power. I'm just curious, as you think about the state of play of the grid globally, what do you think from the ability to access incremental power at the data center level and as part of that, how you're thinking about ensuring the long-term access to power at your portfolio company level? Thanks.
Marc Ganzi: Well, first of all, good morning and thank you. Let's start with fundraising. Look, the fundraising environment is tough. I've been out on the road the first six weeks of the year, and I would say investor interest is high, investor interest is strong, engagement is there. The calendar is plenty deep with meetings. And we've got a lot of investors that are working through various products with us, whether they're doing on-site due diligence here in South Florida, or whether they're in the data room, or whether we're negotiating final terms. We've got a deep pipeline. As I mentioned last time, we have over 200 investors engaged on our current flagship strategy. So we feel very good about the trajectory of the fundraising for our flagship product. Nothing has really changed there. And then I would say interest in new products is up as well, particularly credit. Some of the things that we're doing in our digital ventures group is going quite well, particularly around co-investments. We had a fantastic partnership with Intel. We went out to raise some co-invest capital, and we were oversubscribed to the tune of 2x to 3x. So good ideas, good products, good execution. And certainly, I'll finish with one thing, which is DPI. We've had a great track record of returning capital to investors. We've returned over $4 billion of capital to investors in the last 18 months. We're returning more capital to investors this year. We have a series of closings and a series of assets that are in strategic reviews. So we've done a really good job of listening. I think you have to be in this environment, two words matter, listen and patience. And I think we've been very patient and in due course, we've been rewarded. And I think if you deliver DPI, you deliver good returns, and you're patient, and you're not particularly pushy, the results come. So that second piece is patience, and it just requires a different level of patience and cadence. And you just have to be prepared to maybe take a commitment 30 days later, 60 days later, 90 days later, you should be prepared to take a smaller check. Check sizes are down anywhere between 10% and 30%. We did have a few surprises where some check sizes came in a little higher. And then of course new logos. One of the great things about having a 28 person team that goes out and prosecutes our various strategies on a global basis is we're getting access to more logos. And having a multi strategy approach where right now we have three different products in market, it really shows the depth of what we're doing and it really shows, as I mentioned earlier, the ecosystem and flywheel. So things are working well for us. We're pretty happy. 7.7 is the new 8. So, you round that up, we feel like we hit our goals of trying to get to $8 billion in a tough [tape] (ph). And as I said, we remain positive and constructive around this year. And we've closed some capital. We're going to close more capital inside this quarter. And so things are -- things from our perspective are in a pretty good shape. But I don't want to overstate probably what you haven't heard from our peers like Blackstone or Carlyle or KKR or Brookfield, which is that fundraising is trickier today. And so we just have a different playbook, we have a different cadence and so far it's working out pretty well for us. On the power issue, Michael, you and I have been talking about this for two years. I don't think this is anything new. I highlighted two years ago that the grid was insufficient to meet the demands of data center growth. So we started down a slightly different road two years ago, going out and getting will serve letters when others weren't focused on that. We were designing data center capacity in markets that perhaps other people weren't focused on, whether you take a look at what we've done in Reno, by example, or you take a look at what we've done in Quebec, in Quebec City, by example, or you look at what we did in Berlin, or you look at what we've done in Cardiff, Wales, or Milan, or Warsaw. I mean, you got to skate sometimes to where the puck is going, not where everyone's up against the boards in a scrum. And so we've tried to always be, as the leader in this infrastructure business and digital infrastructure, we've always tried to be a step ahead. So our 5 gigawatts that is currently being contemplated, we do have power sources for that. And in addition to that, we've been working very hard on renewable sources of energy. The switch investment was a big case study in that, in the fact that we know how to source and develop renewable energy adjacent to our data centers. We're working really hard on energy independence across all of our data center platforms. That remains front and center for us. But again, that's a mission that started two years ago. If people are just now waking up to the fact that we have a grid transmission issue, you probably weren't paying attention two years ago, or you just weren't in the business. A lot of people have jumped into the business in the last 12 months, and the difference between being a native and a tourist. So we tell investors, look, we're really, really, really focused on making sure that we're preparing for the future. And to do that, you've got to have great management teams, you've got to have capital formation, you have to have good ideas, and you have to have executives that have been there, done that. We just brought on board Alex Hernandez, who was formerly the CEO of Talen, to work in our investment management team. Alex is a multi-decade veteran in the energy transition space, knows how to bring renewable sources of energy and alternative sources of energy to data centers. And so we're excited to have him here working with our internal team on that and working with the InfraBridge team that's working on energy transition. And we said it when we bought AMP and converted to InfraBridge that energy transition was going to be a big issue. And further to that, we also brought in industry expert, Christian Belady. So, Christian, as most everyone knows in the industry, comes from Microsoft, has an amazing track record in building data centers, but most importantly, understands how to source renewable energy and understands the customer perspective on why renewable energy is so important. And as I've said before, again, this is not a new narrative for us. We said it two years ago. Having renewable energy isn't just something that looks good on a t-shirt that you're ESG compliant. It's, to be honest, Michael, it's table stakes. And if we're going to be ultimately the -- consistently the provider of the next generation of digital infrastructure, we have to do that in concert with our customers. And that's understanding their needs from an energy efficiency perspective, renewable energy, different sources of cooling, and just thinking differently. We have to continue to evolve as a firm and that's something I've always been open to. And I think you see with the ideas that we're prosecuting and the people that have joined our team, we're very focused on this and have been so for a while. This is, again, not a new narrative.
Michael Elias: Thanks for all the color, Marc. Much appreciated.
Marc Ganzi: Thanks, Michael.
Operator: Our next question is from Jade Rahmani with KBW. Please proceed.
Jade Rahmani: Thank you very much. In terms of the fundraising outlook, would you say that there's also alongside a slowdown in fundraising increased competition in the verticals that DigitalBridge target? To what extent is that a factor in your outlook?
Marc Ganzi: Well, I think if it's -- remember there's two dimensions to this alternative asset management business. One is we go out and we compete for capital across our product set. So we've got to go out every day and compete. And I think, inside this quarter, we demonstrated our ability to compete. And I think, to be honest, we sort of punched above our weight class, if you look at some of the performance of the other alternative asset managers in terms of their fundraising. Second, down at the portfolio company level, we've been competing for 30 years. So that's a playing field that I feel very comfortable on. I like competing for new BTS orders. I like competing for new small cell orders. I like competing for new data center capacity. And I think in that regard, as you heard today, down at the portfolio company level, we experienced organic cash flow growth year-over-year up across all four verticals. And our portfolio companies are going out and winning. Switch had an incredible first year under our stewardship in terms of new bookings. Zayo had a tremendous year and a great turnaround, EBITDA up 6%, 7% in a tough macro, demonstrating our capability to get out there and go compete and ultimately deliver a business plan. So look, we're going to compete every day. We compete at the portfolio company level. We have to compete for customers. I think what always gives me a fair bit amount of optimism is that the wallet that we go out and compete for, that piece that we take of the wallet is growing. And when you see the tailwinds that we have had the last decade and you look at the tailwinds we have in front of us for the next 10 years, I mean we're not even done building public cloud, we're not even done building edge workloads for cloud, and here comes AI that requires a robust set of connectivity solutions to the data center, requires massive compute power, power efficiency, new data center design. And then beyond that, as we look over the next, two to seven, eight, nine years out, there's a whole ecosystem that comes with AI that follows a similar blueprint to what we went through in public cloud, which is as it's sort of cloud trained in big data centers, as we've said, it's edge delivered. And the edge delivery concept, I'm going to keep pounding home all year because I want you guys to understand it, which is that edge delivery requires an ability to bring that across the ecosystem. So very few can do that, right, which is, do you have the fiber? Do you have the tower infrastructure? Do you have the edge compute infrastructure? Do you have the small cell infrastructure? Do you have the ability to offload into a controlled environment, like a train station or an airport or a stadium where you have Wi-Fi 6 and you have the capability to deliver big bandwidth solutions and deliver those types of Generative AI applications. We're going to keep talking about this, similar to how we were talking about power two years ago for data centers. When we give you themes to think about, it's not accidental. It's because we have real world experience in what's happening. And so maybe we're a couple of quarters ahead of the crowd, or the tourists, as I like to say. But what we're doing today is delivering for customers. And we're delivering an ecosystem set of solutions that is a bit differentiated from our competitors. And we have to keep doing that. We have to keep evolving. And we have to keep taking outsized wallet. It's really important.
Jade Rahmani: Thank you. In terms of the guidance range, looking beyond what you provided to 2024, I believe the last FEEUM target was $49 billion for 2025. So if $7 billion is now the rate of organic growth and fundraising, should we be thinking more along the lines of $44 billion, $45 billion as a reasonable target for 2025?
Marc Ganzi: Look, we haven't put out those targets. What we have done is given a specific set of parameters around what we feel we will deliver this year. I think that was pretty clear from the earnings presentation. As we've made this final transition from diversified REIT into alternative asset manager, part of that transition this year is now reporting like our peer group. And so you have to maybe flush a little bit of the old way we reported, which was more in a re-cadence and more based on run rate to now actually going to what our peer set does in the alternative asset management space, which is reporting on actuals. And so ultimately, we plan to give that level of comfort to investors on our Investor Day, which we're planning for May. We'll have that date for you shortly. In March, we hope you'll come down here and show up in person or you can show up virtually. Either way, I think it'll be a very instructive day for us and with our investors and of course with all of you in the analyst community. So we look forward to that.
Jade Rahmani: Well, would you say is there any reason for a re-acceleration in growth in 2025? Let's say rates moderate, and that part of the headwind subsides. That could add to LP investor confidence in deploying capital. Is there a potential for a re acceleration?
Marc Ganzi: Well, look, an acceleration for us would be amplified fundraising, right? Because that ultimately leads to FEEUM and FRE and distributed learnings. So, we've given you a $7 billion guide for fundraising this year. It flows through very evenly to the rest of the key metrics that you know about our business. I don't think there's any magic to ‘25 versus ‘24 versus ‘26. I think we're in a very steady cadence in terms of how we're delivering on existing products for investors, which is that key metric DPI, returning capital back to investors. I think everyone needs to understand that if you return capital back to investors, you then can ask for more new capital. But I think investors are becoming a lot more hawkish around DPI. And in terms of giving new commitments, it is heavily linked to your ability to perform for them. So right now in this year, we're focused obviously on the three products that we're fundraising for, that $7 billion that we talked about. We're very focused on portfolio company performance. We're very focused on the exits that we have planned for this year and delivering great outcomes for investors. And then that gives us the ability to go out and fundraise in ‘25 and ‘26. And as you can tell from the cadence of credit and InfraBridge and our flagship strategy, there is a pretty, as you can start to notice in pattern recognition, there's a logical progression from when you launch new products. Also, I want to be clear, we have not left M&A off the table for this year. We do think there's adjacencies in digital alternative asset management that we do not have in our quiver today. So we're going to go out and think thoughtfully about how to grow that, whether it's standing up new teams organically, or whether it's buying an existing platform like we did with InfraBridge. We're going to grow our asset base and we're not afraid to use M&A as an ability to do that. And we have lots of different ideas and targets there. So there is the opportunity for outperformance and acceleration in ’25, ‘26. I want to be clear with you, it's not interest rate driven. Everyone seems to think that interest rates are the magic elixir. It's not. The elixir in the alternative asset management space, if you're a serious CEO running a serious company, is returning capital to investors. DPI matters. Because at the end of the day, the organizations that deliver and bring capital back to LPs are the organizations that have the ability to ask for new capital commitments. That to me is really the focal point of what we're trying to get done this year.
Jade Rahmani: That's a great point about it's not only interest rate driven. I wanted to ask a follow-up. I don't know if you'd be comfortable answering it, but looking at the FRE and translating it to a per share distributable EPS basis, what range do you think might be reasonable?
Jacky Wu: Yeah, we're not guiding to EPS. I mean, obviously the other factors that drive it from FRE down to EPS or distributable earnings will be our interest expense as well as preferred equity. But at this point in juncture, given the realizations and other things that matter to distributable earnings and EPS, we're at this point not guiding to that right now.
Jade Rahmani: Thank you.
Marc Ganzi: Thank you, Jade.
Operator: Our next question is from Ric Prentiss with Raymond James. Please proceed.
Ric Prentiss: Thanks. Good morning, everybody.
Marc Ganzi: Hey, Ric, how are you?
Ric Prentiss: Great, thanks. First, thanks for getting us to the simpler story. I know it took a lot of work and it was busy. And hats off Jacky, it's been great working with you and we welcome you to beginning to know Tom better.
Jacky Wu: Thanks, Ric.
Ric Prentiss: Questions. Marc, I want to follow along. Obviously fundraising is a key topic. So and first also thank you for getting the calendar year guidance. We appreciate that ‘24 is a calendar year guidance, so check box on that one, too. When we think about the $7 billion in fresh capital in ‘24, how should we think about the pacing through the year on that one? And then on the realization, the DBP I, DBP II, like you said, DPI is important. How should we think about what that pacing of those returning capital to investors should look like? And the next piece of the question too is, how should that return to capital affect kind of our thoughts longer term ‘25, ‘26, ‘27?
Marc Ganzi: So I don't think there's a specific algorithm between DPI and what investors bring back to us. I want to make sure you guys don't feel like there's a direct correlation there. I think that, we've delivered about a little over $4 billion of DPI. I think it's $4.6 billion of DPI in the last 18 months. We have scheduled to deliver another $5 billion of DPI this year. Could go a little bit higher. We'll see. It's really focused on a couple of our continuation funds, some of the legacy DigitalBridge funds that we had. Our returning capital right now, there's some exits in Fund I. There's some InfraBridge exits. So we've got a bunch of stuff teed up. And we'll continue to update you each quarter as we deliver that DPI. I think on the $7 billion this year, we've been pretty clear that the bulk of that will be flagship. So we've got closings that are scheduled for the end of this month. We've got a big closing scheduled for March. We have rolling closings, Ric, pretty much every 30 days. And remember, we're no longer a one product shop, right? So between co-investments, continuation vehicles, the flagship product, our credit strategy, our late stage venture growth strategy, we've got an ample amount of products in the market that there's always a closing happening at some point in time. So the key to that is just updating you guys on a quarterly basis about how much we raise inside the quarter, and then ultimately how that offsets against our annual objectives. So, so far, good start to the year. Good January, right? February's lining up pretty good. March is lining up very strong. And everything seems to be as we have planned it. As I mentioned earlier, Ric, there's one key word to all of this, which is just patience. Whether you got to wait two weeks for a signature, you got to wait 30 days for a fee letter, you got to wait 45 days for an investment committee to reconstitute itself, every place has a story and an issue, and we just need to be good listeners, which we are. We need to be patient, which we are, and the results will come. We have a very, very good feel for what we're doing. And which is why we sit here today with the results that we just delivered to you and the conviction level that we have for the story this year and out in the ‘25 and ‘26 where we've already got new products lined up for launch later this year, that'll be our ‘25 products. And then if we continue to deliver on Fund I and Fund II, we can continue to grow our flagship strategy in ‘26. So everything is pretty well thought out, right? I mean, we have a very specific set of goals and objectives. And the good news about having the multi-strat setup that we have today between InfraBridge, right, the flagship product, late stage venture growth, credit, SAF, which is our core fund, and our two liquid securities and our continuation funds group, we have enough products out there that can keep growing. And don't forget, Ric, as our portfolio companies grow, in the middle of the year, we may announce a big co-investment, right? So we may go out to all of our LPs. Let's say, I'm not going to pick on one company, but let's say Scala or Switch or Vantage Europe ends up outperforming, it's not uncommon for us in the middle of the year to do an equity raise very quietly. And then all of a sudden that pops up in the next quarter and you're like, oh, wow, where did that come from? Well, it came from success based CapEx. And so we've got a rich history of doing that. And again, whether it's a Scala or whether it's a Highline or whether it's a Vantage Europe or whether it's a Vertical Bridge, all of these companies require capital. And when they're succeeding and they're taking outsized wallet share, it's easy to go to LPs and pass the hat and ask for a top up on co-invest equity. So you'll see that. Each quarter, you'll see a co-investment strategy, bring in some new capital, perhaps you guys don't expect it. We don't model it, right? But as our portfolio companies grow, so does the equity table and so does the ability to form capital around our best management teams.
Ric Prentiss: It might be a little premature, but Tom, you're in the background there on the call. It sounds like you've got extensive experience in the alt world. What are you seeing so far as kind of the pros and cons of DigitalBridge versus others in the alt asset manager space? And what do you think the market's missing as far as people look at DigitalBridge?
Tom Mayrhofer: It's probably a little premature for me to comment on that specifically, but what attracted me to DigitalBridge is that we have a focus and an area of expertise that differentiates us. And so that's what attracted me here. I think that's fundamentally what's important when you think about investing capital.
Ric Prentiss: Hey, Marc, you've obviously been around a lot longer, we've known each other, gosh, 20, 25 years. What do you think are the pros and cons on what you guys now are the simpler story, and what is the market not giving you credit for yet maybe?
Marc Ganzi: Well, Ric, I think we've been pounding the table now for three years and I've been at your conferences quite a bit, being an evangelist of the asset light digital infrastructure player. And even though we've taken an alternative asset management skin, deep at our core, our capillaries, our heart, our brain is that of an operator. And when you're asset light, Ric, you can go faster, right? And when you're asset light, you can form capital quicker and you can take wallet and I love doing that. I love competing and I like to go out and I love it when our portfolio companies go win the key jump balls because we can move a little quicker and we can form a little capital. And make no mistake in AI infrastructure, you've got to have a big wallet if you're going to go compete for some of this business. So we're out there doing that. And as you can tell from the likes of Equinix and DLR, they're out there trying to form capital away from their public balance sheets because they have to. It's the only way they can survive, which is why DLR did the business, did the deal with Blackstone and why Equinix did their deal with GIC. I think it's sort of proof positive that what we're doing is the new thinking in infrastructure, a more evolved way to invest in digital infrastructure, which is why our investor base has some crossover. You see traditional infrastructure, TMT investors in our share price. And then you see obviously folks that hold other alternative asset managers moving in to our stock in the last 90 days, because they understand what we're doing and the fact that we are the next-gen alternative asset manager, lean, focused, flywheel, product-centric, customer-centric. These are things that are unique and even unique, Ric, in the alternative asset management space, we're at our first financials conference today, which will be interesting. But we'll still attend your conference, right? Because we have a big say in what happens in your world. But we now have a voice in the world of, again, the Blackstones and Carlyles and KKRs, because, our fees, our revenue, our earnings, and most importantly, the scarcity of what we do is so unique. And I think as time goes on, you're beginning to see us grow into what I think is an appropriate multiple for this business. We're not industry leading yet. I think my goal is to have the highest multiple in the industry because I think what we do is more unique. I think what we do is a little bit more sticky. I think our fee streams are a little bit longer. And as we get out on the circuit and we talk to investors in the financial services space, like we're going to do today at one of your competitors conferences, we're going to go make that case, that the durability of our management fees, the uniqueness of what we do, the scalability of what we do, our ability to grow AUM, FEEUM and FRE is very unique because it's fueled by a secular tailwind that hits credit, that hits core, that hits flagship, that hits InfraBridge, that hits our liquid securities funds. All of these ideas and concepts are unique, curated, tailored, different products and perhaps what our peers are selling. And so as Tom said, being focused matters. Investors want focus. They want to be with somebody that's an industry specialist and that understands how to invest in these secular opportunities. You're seeing the same thing, Ric, in renewables. Investors pile into folks that are focused, that have that industrial background, and that's why I think you're seeing some of the success. Now, I think the big elephant in the room about our valuation, Ric, is just carried interest, right? I remember talking to some friends of mine at Blackstone who now are the senior leadership there. Over a decade ago, when they went public, there wasn't a great appreciation for their carried interest. And now today, I think investors expect on a quarterly basis, Blackstone to deliver carried interest and they do it and they do it really well. They're best in class. And so we need to get into that same cadence, right, where investors can trust the carried interest delivery. And we've got a big chunk of our carriers is for the public company. And right now we don't get valued for that at all. So that's a big opportunity. But that's something that's earned, Ric. We got to go earn that. And I plan to do that. Just like we spent the last four years earning your trust and earning investor trust, we will spend the next four to five years earning the trust side on the carried interest delivery for our shareholders.
Ric Prentiss: Makes sense. Thanks, everybody. Jacky, again, best wishes.
Marc Ganzi: Thanks, Ric.
Operator: Our next question is from Richard Choe with JPMorgan. Please proceed.
Richard Choe: Great. I just wanted to follow up on the $11 billion in data center CapEx. What kind of return rate should we be expecting from those investments? And I think there's some worry that we're kind of entering this peak data center demand environment. Can you talk a little bit about kind of the sustainability that you see? I know you went over a little bit on your pipeline, but in the past, pipelines don't always turn out to what they should be.
Marc Ganzi: Yeah. No, Richard, as always, you're asking the right question, right? I think we should always be concerned at the peak, not the trough. And so having -- like you, having been around this sector for three decades, I mean, I've watched the peaks and the valleys in cell towers, I've watched in small cells, I've watched in fiber, I've now watched two leasing cycles in data centers. And I think, Richard, you'd probably agree with me, we're in a third cycle now, since the inception of the industry where we're at a peak. I actually will take the view that I think rental rates, Richard, will continue to go up. I do think it is very market specific. Given that we are a global operator, we do operate in five different continents, just to be clear. We've got operations in Africa, got operations in Asia, Latin America, the US, and Europe. And so we have a pretty good purview of what's happening out there. And certain markets, lease rates are up 10%, 11%. Certain markets, lease rates are up 25%, 30%, 40%. And Richard, it is heavily correlated to power and power availability. And so as certain markets, like for example, the flat markets or Northern Virginia or Santa Clara, or even out of Hillsboro, these are capacity constrained markets where the landlord has the advantage. And how you use that advantage is really important, and I won't get into the strategy of pricing and what we do, it's not appropriate. But our 5 gigawatt pipeline is super qualified in the respects that we have land, we have permits, we have will serve letters, and we're prepared to deliver that capacity. That 5 gigawatt number last year, just to put it in proper context, our pipeline this time last year, Richard, was 2.3 gigawatts. So our pipeline is up over 2x, right? And so we'll lead through that pipeline as the year goes on. And again, what is also unique to our story is that we have six different data center platforms. So we're not just myopically focused on big cloud hyperscale campuses, right? AtlasEdge is building hyperedge compute in Europe. DataBank is building hyperedge here in the US. AIMS is building hyperedge in Southeast Asia. So we have three edge compute companies that are very focused on a specific product, a certain vertical, and a certain set of customers. Take a step back. Look at what Vantage is doing and look at what Scala is doing in Brazil and in Santiago and Colombia. There we're delivering at scale big hyperscale campuses focused on cloud customers and cloud logos and some AI logos. Then, last but not least, private cloud, 100% renewable. Switch, very differentiated, very unique, highly secure. These are things that resonate with the customers, particularly Fortune 100 customers and big government agencies that really are focused on data sovereignty and data protection. We've had a fantastic first year results at Switch, and Switch is poised to deliver another big year of results. But again, that is Tier 5. It's a very differentiated product. So again, having these six different companies where we can show up and be incredibly surgical and act local with the customer and already have the power lined up, already have the land lined up, and already have the building permits lined up, that's advantage DigitalBridge at the end of the day. And so when we present to you an $11.7 billion CapEx number for this year on new data center spend, that's committed, that's signed. So those were leases that were signed 12 months ago, 18 months ago. What we'll do this year is we'll work through that 5 gigawatt pipeline and hopefully we convert somewhere between one and 1.5 gigawatts of new leasing, maybe more. Our sales teams are pretty confident that this could be the first year we could surpass 2 gigawatts of leasing across all of our portfolio companies. We'll wait and see. We'll keep you updated on it but I think the punchline is the markets that we're operating in, we see price elasticity but we see defensibility around what we're doing from the power position we have, the permits we have, and the customer relationships we have. That to me is the strategic moat at the end of the day, is being a year, 18 months ahead of our competition in terms of the land, the permits, and the power.
Richard Choe: Thank you for the color.
Marc Ganzi: Thanks, Richard.
Operator: Our next question is from Eric Luebchow with Wells Fargo. Please proceed.
Eric Luebchow: Thanks. Good morning, Marc. So maybe you could touch on kind of the buy versus build equation across your key industry verticals. It seemed like you're more focused on building via CapEx and greenfield in 2024. Wanted to confirm if you've seen any kind of changes in transaction multiples across your key verticals.
Marc Ganzi: Yeah, thanks. Look, we're not bullish nor bearish on M&A versus building. I think inevitably we skate to where we think we can achieve the best IRR. And so for right now in data centers, it's built. Buying existing data center platforms are incredibly expensive. And the returns are incredibly tight because five or six infrastructure firms show up who claim to be in digital infrastructure and need to buy something. And so that's not a race we play in. It's not a place where we perform particularly well. So this is why we've been for years building these six platforms and building our construction pipeline and most importantly, building our partnerships with tower source providers. That's really been the magic for us. In that swim lane, we're focused on greenfield. I think if you look at towers, we've seen tower multiples retreat a little bit, not much, but there's been some value opportunities where we've dipped our toe in and we found an opportunity to do some tuck-in M&A and we do that discreetly and quietly and we don't do it with a lot of fanfare. So we are buying towers, but we're also building towers. We've got a big pipeline of towers in Europe with GD Towers with our friends at DT. Vertical Bridge has a monster pipeline of new BTS towers, but they're also engaging in M&A. EdgePoint has a big BTS pipeline of over a couple thousand towers for customers in three different countries in Southeast Asia. And ATP and MTP and Highline are all executing down in Latin America. So we're very busy. I would say our global built-to-suit pipeline is somewhere between 5,000 and 7,000 towers today across all the different tower companies. That actually might be light, Truth be told. And then I think the M&A pipeline is somewhere between 15,000 and 20,000 towers when you amalgamate all the M&A acquisition work we're doing around the globe in Asia, Latin America, Europe, and the US. Again, in the tower business, we operate in four different theaters, so we're pretty busy. Moving on to fiber, I think this is where you've seen the biggest degradation in multiples. Fiber-to-the-home, there were some deals that kind of got done in the crazy days of COVID in the mid-20s. I think you're seeing those multiples retreat down in kind of the 10 times to 14 times range. Enterprise fiber, again, good enterprise fiber, was trading in the go-go days in the mid-20s, retreated to the high teens and I would say today is retreated even further down into the low teens and again, kind of in that 12 times to 14 times band. But it just depends on the business model, depends on the market, the management team. We saw fiber-to-the-home business in Florida trade for over 30 times to a sponsor last week, and that just kind of blew our minds. So there are outliers and certain fiber models are pricing well and certain fiber situations aren't even pricing. It's just a no bid. And we've seen a couple of different auctions where the auctions have failed because there wasn't a bid sufficient to proceed, where the sponsor was like, look, I'm holding out because I got this marked on my book at 18, and all the bids were at 12. So I think fiber still has a shakeout in pricing and in the M&A landscape. And we'll continue to track that space pretty carefully. I think the small cell space is very interesting because we haven't quite hit 5G densification. So as that growth kicks in and we move into the next phase of leasing, I think you're going to see multiples move up in the small cell space because particularly in Generative AI where you really need to have low latency edge delivery of those applications to mobile devices, I think you do see a pickup in small cell infrastructure in ‘26 through 2030. I think that's kind of the four year pocket we see being a lot of demand in small cell. So there haven't been any material trades in the small cell sector in the last 12 months. There have been a couple of businesses that have been up for sale that didn't get the price the sponsor wanted, so they pulled it back. And those are valuable assets. And so I think time will tell, there's a bid-ask spread between what a sponsor wants to sell a small cell infrastructure business for and versus what the market wants to pay. So I think time, growth, and interest rates will sort of reconcile that. But for the time being, we don't have enough data to suggest that small cells are trading up or trading down. We just know that there's a material bid-ask spread. So that's kind of my picture on greenfield versus brownfield. In the meantime, fiber greenfield is good. Small cell greenfield is okay. You saw our growth numbers from last year. Both those verticals are still delivering positive year-over-year growth, but clearly not delivering the kind of demand that we've seen across certainly data centers and towers.
Eric Luebchow: Great, thanks. And maybe you could touch on kind of M&A opportunities within the alternative asset manager space. I mean, we saw a large transaction announced earlier this year between BlackRock and GIP. And just wondering if you think there's more consolidation opportunity to come in what your M&A pipeline may look like in terms of tuck-in and other asset management platforms?
Marc Ganzi: Good two questions. I was wondering when those were going to come. So on the first one, I mean, if you take a look at the two trades, the General Atlantic trade and the BlackRock trade, and then you look at KKR's acquisition of Angelo Gordon, I think you do see a pattern -- sorry TPG's acquisition of Angelo Gordon, you do see a pattern of M&A activity in the sector. I don't think that slows down. I think that'll continue. I think that what people are recognizing is when you have a good platform, you have one accounting system, one SEC reporting, one asset management platform, one fundraising team, you do get economies. What we've learned is you do get economies of scale as you get bigger. And having a multi-strategy approach, whether you're Ares, whether you're Apollo, whether you're Blackstone, that is the playbook. And different of our competitors choose to do different ways. Blackstone, by example, is very comfortable standing up a new product and growing through their own teams, they're really good at it. You see what Ares has done in both ways. They've done M&A and they've done it through greenfield and then obviously you see what BlackRock is doing as they move into alternatives. I think this will continue. And I do think there's a number of middle market infrastructure GPs that are subscale, that have looked at going to an IPO route, they realize they can't get there. It's tough to get public. We learned it the hard way in four years of building this business where it is. And so I think you will see more M&A activity in the space. Multiples are pretty hot right now. The GIP multiple was pretty rich. We think it was somewhere in the low 20s. Go figure for this year, sort of full impact of the FRE and FEEUM that GIP will deliver for BlackRock. So we think that Larry and the team did a smart acquisition and it gives BlackRock a whole new suite of products to sell to their clients. And same thing with General Atlantic in terms of what Bill Ford's trying to do in energy transition. And so everyone has good industrial logic to what we're doing. Our pipeline, we won't comment on it. We have a number of ideas that we're executing right now and we feel comfortable that we will in due course execute some of those ideas.
Eric Luebchow: Great. Thank you, Marc.
Marc Ganzi: Thanks.
Operator: Our next question is from Matt Niknam with Deutsche Bank. Please proceed.
Matt Niknam: Hey, thanks so much for taking the question. One question, one housekeeping. On just the main question, you talked about obviously seeing early impacts of GenAI demand. Can you talk, Marc, maybe about how much data center leasing of late is tied directly to AI and when you may see this demand translating to more activity for your fiber and edge assets? And then on the housekeeping, I think there was reference in one of the footnotes around $40 million in catch-up fees this year. It appears it's pure margin. I'm just wondering if that's included in the guide for $335 million to $360 million in fee revenue for the year. Thanks.
Marc Ganzi: So first on catch-up fees, it's normal nomenclature for our business that when a LP joins a fund late, we have the ability because it's on committed capital. We have the ability to build those fees and we do so and Jacky and Tom and the team do a good job of doing that. The second question, can you repeat the second question again for Jacky and Tom's benefit? Thanks.
Matt Niknam: Yeah, if it's included in the $335 million to $360 million fee revenue guide.
Jacky Wu: Yeah, it is included. Yes.
Matt Niknam: Yeah, thank you.
Jacky Wu: And that's consistent with our benchmark peers.
Marc Ganzi: And the first part of the question, sorry?
Matt Niknam: Yeah, first question was just on AI. So obviously you're seeing it in data center leasing. Just wondering…
Marc Ganzi: Yeah, yeah. So what I would say is, if you look across a 5 gigawatt pipeline today, last year AI was about 20% of our pipeline. I would say today, AI workloads probably constitute and AI ecosystem, right? So whether it's a CoreWeaver, or Nvidia, or an ARM or somebody like that, I'd say today it's probably about 40% of our pipeline. And then as it relates to when it will impact fiber and edge, it's already impacting fiber. I can tell you that. So we already are seeing data center connectivity demand that's being driven by those AI workloads. And some of that is existing fiber conduit that we're selling into. Some of that is new route architecture going into existing DigitalBridge data centers. And some of that is brand new de novo fiber that's going to a data center that's being self-performed by a customer. So never before has it been more important to be close for our cloud and AI customers on the fiber side. And we're pretty busy there. On the edge concept, we've actually been pretty clear. AI edge leasing is probably three to four years out, truth be told. I mean, right now we're leasing into big language-based models that are pretty -- a little less latency-sensitive is what I would say, but they're more focused on power density and the delivery of big, big workloads. So think 400 megawatts, 800 megawatts, a gig of power. I mean, these initial language based models need to be -- they don't need to be in data center alley. They don't need to be in the flap markets in Europe. They can be in other places. So with that less sensitivity, it does represent a good opportunity for us to build more fiber, but we're also building some of those workloads for our customers. So I think on the edge AI side or Generative AI edge, that'll be something that's probably more of like a, starting in ‘25, but really a ‘26, ‘27 and ‘28, kind of delivery story.
Matt Niknam: Great, thanks so much and congrats again on the quarter.
Jacky Wu: Thank you.
Marc Ganzi: Thank you. Thanks, Matt, appreciate it.
Operator: We have reached the end of our question-and-answer session. I would like to turn the floor back over to Marc Ganzi for closing comments.
Marc Ganzi: Well, first of all, thank you to all of you, our investors, for your continued patience and support of what we're doing. We appreciate those of you in the last quarter that have joined our shareholder roster. We always appreciate new shareholders. And as we've made this transition and move into a new speaking circuit which starts today for us, we look forward to meeting with all of you and telling the story and giving you more visibility into what we're doing. Really excited about our upcoming Investor Day. We're looking forward. I hope all of you will take advantage of that. And again, the most important part of this call besides the results and the delivery is Jacky to my left here. I want to thank you, Jacky, for your partnership and friendship. I'm excited about what you're doing for us going forward. Jacky’s involved in a bunch of our portfolio companies, and he's vital to the performance of those assets. And I know, Jacky’s excited to get back to his roots a little bit and be down in the weeds with the deal teams, which he likes. That's something he's quite passionate about. And so aligning his passion with where he can be really useful to DigitalBridge shareholders is exciting. And, Tom, welcome to the room. Welcome to the conversation. Looking forward to partnering with you and telling our new transform story. So, thank you. That concludes our comments and I look forward to seeing all of you out on the conference circuit. Take care. Have a great day.
Operator: Thank you. This will conclude our conference. You may disconnect your lines at this time and thank you for your participation.